Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Cohen & Steers Second Quarter 2017 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, July 20, 2017. I would now like to turn the conference over to Adam Johnson, Senior Vice President and Associate General Counsel of Cohen & Steers. Please go ahead, sir.
Adam Johnson: Thank you and welcome to the Cohen & Steers second quarter 2017 earnings conference call. Joining me are, Chief Executive Officer, Bob Steers; our President, Joe Harvey; and our Chief Financial Officer, Matt Stadler. Before I turn the call over to Matt, I want to point out that during the course of this conference call, we may make a number of forward-looking statements. These forward-looking statements are subject to various risks and uncertainties and there are important factors that could cause actual outcomes to differ materially from those indicated in these statements. We believe that some of these factors are described in the Risk Factors section of our 2016 Form 10-K, which is available on our website at cohenandsteers.com. I want to remind you that the company assumes no duty to update any forward-looking statements. Also, the presentation we make today contains non-GAAP financial measures, which we believe are meaningful in evaluating the company’s performance. For disclosures on these non-GAAP financial measures and their GAAP reconciliations, you should refer to the financial data contained in the earnings release and presentation, which are available on our website. Finally, this presentation may contain information with respect to the investment performance of certain of our funds and strategies. And I want to remind you that past performance is not a guarantee of future performance. This presentation may also contain information about funds that have filed registration statements with the SEC that have not yet become effective. And this communication does not constitute an offer to sale or the solicitation of an offer to buy these securities. For more complete information about these funds including charges, expenses and risks, please visit our website. And with that, I’ll turn the call over to Matt.
Matthew Stadler: Thank you Adam and good morning everyone. My remarks this morning will focus on our as-adjusted results, which exclude the after-tax financial effect associated with our seed investments and discrete tax items. Yesterday, we reported earnings of $0.50 per share compared with $0.46 in the prior year’s quarter and $0.47 sequentially. Revenue was $92.9 million for the quarter compared with $86.4 million in the prior year’s quarter and $89.7 million sequentially. The increase in revenue from the first quarter was attributable to higher average assets under management and one more day in the quarter. Average assets under management for the quarter were $59.7 billion compared with $55.9 billion in the prior year’s quarter and $58.3 billion sequentially. Operating income was $37.4 million for the quarter compared with $34.2 million in the prior year’s quarter and $35.5 million sequentially. Our operating margin increased to 40.3% from 39.6% last quarter. Expenses increased 2.2% on a sequential basis, primarily due to higher compensation and benefits and distribution and service fees, partially offset by a decrease in depreciation and amortization. The compensation to revenue ratio was 32.75% for the quarter, consistent with the guidance provided on our last call. And therefore, the increase in compensation and benefits expense is in line with the growth in revenue. The increase in distribution and service fee expense was consistent with the increase in average assets under management in our U.S. open-end mutual funds. And the decline in depreciation and amortization was attributable to certain assets being fully depreciated. Our effective tax rate for the quarter was 38%, consistent with the guidance provided on the last call. Page 12 of the earnings presentation displays our cash, cash equivalents, and seed investments for the current and four trailing quarters and indicates that portion of cash and cash equivalents held outside the U.S. Our firm liquidity totaled $242 million compared with $215 million last quarter and stockholders’ equity was $290 million compared with $273 million at March 31, we remain debt free. Assets under management totaled $60.4 billion at June 30, an increase of $1.9 billion or 3% from March 31. Assets under management at June 30 were slightly below our record high of $60.5 billion set in the last year’s third quarter. Assets under management in institutional accounts totaled $29.5 billion at June 30, an increase of $522 million or 2% from last quarter. Open-end funds had record assets under management of $21.6 billion, an increase of $1.3 billion or 6% from last quarter. And assets under management in closed-end funds increased $149 million or 2% from last quarter. We recorded total net inflows of $1.3 billion in the quarter, an annualized organic growth rate of 9%. This marks the 11th consecutive quarter of net inflows. Institutional accounts had net inflows of $443 million in the second quarter, an annualized organic growth rate of 6%. Sub-advised portfolios in Japan had net inflows of $329 million in the quarter compared with $306 million. Net inflows were primarily from U.S. real estate portfolios. Distributions increased slightly to $849 million in the first quarter compared with $811 million last quarter. You may have heard that our largest Japanese distribution partner announced a rate cut this past Tuesday; I will elaborate on this in a moment. Sub-advised accounts, excluding Japan had net outflows of $8 million. Advised accounts had net inflows of $122 million during the quarter, as inflows into preferred portfolios were partially offset by outflows from U.S. and global real estate portfolios. Bob Steers will be providing some color on our institutional pipeline and level of activity. Open-end funds had net inflows of $887 million during the quarter, an annualized organic growth rate of 17%. Distributions totaled $262 million, of which $181 million were reinvested. Now let me briefly discuss a few items to consider for the second half of the year. As noted earlier, our largest Japanese distribution partner reduced the distribution rate on one of the funds that we sub-advised by 30%. Applying the reduction to the second quarter distribution payments for this fund implies that payouts in the second half of 2017 will decline by approximately $250 million. Changes in net flows, market performance and currency rates could affect the amount of the implied decline. As a result of the lower distribution rate we expect that this one may experience net outflows in the short term will Bob will address. With respect to compensation and benefits, we expect to maintain a 32.75% compensation to revenue ratio. We expect 2017 G&A to increase between 3% and 4% from 2016, lower than the range we provided on our last call. The decline is the result of run rate savings derived from work performed by our global expense task force. As a reminder, the majority of the year-over-year increase in G&A is attributable to investments we made to strategically add to our distribution capabilities in the DCIO channel and in Europe, as well as higher mutual fund reimbursement costs, and increased cost for administering our collective investment trusts, both of which were generally associated with asset growth. And finally, we expect that our full year effective tax rate will remain at approximately 38%. With that, I’d like to turn it over to Bob.
Robert Steers: Thanks, Matt and good morning. As Matt already cited, $1.3 billion net inflows represented our 11th consecutive quarter of firm wide positive organic growth. Many factors have combined to explain the success, but it’s mainly attributable to unique and in-demand strategies, leading investment performance, new and innovative product launches, and expanded domestic and global distribution strategies. Virtually every channel and geographic region is experiencing meaningful increase, a meaningful increase in investor interest, especially for U.S. and global real estate, preferred securities and global listed infrastructure. Only two out of our 10 core strategies are seeing any outflows and this year we are for the first time enjoying a surge in institutional demand for preferred securities strategies. As you know, organic growth in the wealth channel has been consistently strong and this quarter was no exception. Net inflows into our open-end funds were $887 million or 17% annualized organic growth rate. As has been the case, preferred securities and U.S. REIT sales accounted for the majority of the net flows. However, it’s worth noting that inflows into our relatively new low duration preferred fund were $193 million in the quarter, bringing its total assets to nearly $500 million. Flows have been accelerating into this fund because of our dominant preferred securities brand, interest rate concerns, and the fund’s availability on several new platforms. The advisory channel had an exceptionally strong quarter as well, which is not fully reflected in the $122 million of net inflows. Our one but unfunded pipeline of mandates is now $903 million up from $317 million in the first quarter. Of the 11 pending finals I referenced to - I referred to last quarter, we had 13 lost one and seven remained pending. In addition, RFP activity is diverse and running substantially ahead over the last several years. We are also now beginning to benefit from our recent investments in new usage launches in Europe, as well as our multiyear effort to penetrate the Japanese institutional market. During the quarter we gained regulatory approval for our global preferred SICAV, which also received funding of $45 million from a Japanese institutional investor to go along with our initial seed capital. We’re optimistic about prospective flows into our growing array of usage vehicles which include share classes for institutional investors in Europe and in Asia. Strategically important is that for the first time we’re saying significant demand for preferred securities strategies from a variety of domestic and international institutions, we expect that this will continue. Advisory net inflows into preferred securities strategies in the quarter were $191 million and also account for $258 million of our unfunded pipeline. Flows in the sub advisory channel were again muted with $8 million of net outflows. However, two new model delivery sub advisory mandates that I spoke of last quarter and whose assets are assets under administration, have begun to fund, these assets are not included in our AUM. The Taiwanese preferred securities fund is $203 million of AUA and the Korean midstream energy fund is currently $30 million of AUA, both represent strategically important entrees into their respective growth markets. Japan sub advisory flows of $329 million ex-distributions were again solid, however, as Matt mentioned, this week a large distribution partner disclosed that they are reducing the distribution rate on one of their U.S. REIT funds. Future flows into this fund are likely to decline or go negative for a period of time. Partially offsetting any decline of flows will be the 30% reduction in the fund’s distribution rate or approximately $250 million over the remainder of the year. As always, strong investment performance is essential to achieving positive organic growth and this was another good quarter on that regard. All of our real estate preferred securities, MLP, global listed infrastructure strategies are ahead of their respective benchmarks year-to-date. That represents seven out of 10 of our core strategies, six of 10 were ahead in the quarter. Today, over 92% of our AUM are on outperforming strategies for both the last one and three year time periods and 91% of the U.S. open end fund assets are on funds ranked four or five stars by Morningstar. On an absolute basis most of our strategies by AUM have performed well year-to-date due to the combination of solid global growth and a stable yield regime. Our smaller AUM energy strategies have declined on an absolute basis. Recent new product launches such as our low duration preferred fund have provided a major boost to our growth prospects and we see a number of similarly exciting prospective opportunities in the listed infrastructure space. Investors, especially institutions, are eager to allocate to infrastructure given the sizable and well-publicized opportunities in this space. We believe that as has been the case in the U.S. for many years, private infrastructure investment opportunities will be few difficult and far between. Conversely, opportunities in the listed space are significant, easily accessible, and are already performing very well. This is being recognized in the market as stocks of companies which own infrastructure assets have been strong performers this year. Finally, logistics companies and companies that are positioned to benefit from spending on roads, bridges, railways and tunnels are mainly public and were busy creating targeted global portfolios and strategies both equity and debt to capitalize on these opportunities. Lastly, rising to the moment of truth is the theme of our latest annual report, in it we made the case that while it will be challenging for the inactive asset manager in the current environment, a small number of managers will emerge as major beneficiaries of consolidation in the industry. These managers will have unique in-demand and scalable active strategies that consistently achieve industry-leading performance. Distribution prowess along will no longer be able to overcome poor performance or products that have become commoditized. The bottom line is that to succeed we must deliver more for less that means top-performing and more relevant products, more support for customized solutions and competitive fees and expenses over time. We’re working hard every day to improve productivity and to manage costs. The expense task force that Matt referred to this year’s projecting annual savings of $2.8 million of run rate G&A from identified reductions. These efforts will be ongoing and will in effect contribute to funding of our strategic growth initiatives. With that I’d like to stop and open the floor to questions.
Operator: Thank you. [Operator Instructions] One moment please for the first question. Our first question is coming from the line of Ari Ghosh with Credit Suisse. Please proceed with your question.
Ari Ghosh: Hey, good morning, everyone.
Robert Steers: Good morning.
Ari Ghosh: So, just wanted to touch on the distribution cut in Japan, could you elaborate a little on how you view the cycle different from 2012? I know that the company performance across most periods are a lot stronger this time around and I think also some of your larger competitors already cut distributions, but is there anything else that you are doing proactively either with your colleagues or investors in Japan that gives you some comfort that either the magnitude of outflows or the duration this time might be less severe?
Robert Steers: That’s a great question. There are some differences this time, some of which you already noted. First, the last time around we were the first to cut not the last. And as you noted, most of these funds have cut in a similar time period. So, our partner is the last of the majors to cut and so we think that some of that has already been factored into flows over the past six months or so. Secondly, what’s different this time is that because the others had cut and we were able to have these discussions with our partner, we have along with our partner put together a very aggressive plan and program to have seminars starting immediately throughout Japan to explain that the fundamental outlook for U.S. REITs is still a very strong, valuation to strong, the dividends for U.S. REITs are going up, not down, and really just having a much more time to prepare, to explain the distribution cut to the marketplace and explain why the new level will be sustainable and be available to answer the question. So, I think we have scheduled over 40 seminars, 50 seminars over the next few weeks actually.
Ari Ghosh: Got it. And then just a quick one on the pending mandates, so of the seven still in play what is the total AUM again and then if there’s any color you can add by product mix or institutional clients for the seven that are still in play?
Robert Steers: So, of the seven that are still in play, the amount is well over $500 million. These totals can change between the time a search is announced and amounts are given - the amounts can go up or down. In addition, these are just finals, these are just mandates that are at the end of their process. As I mentioned, we have an extremely robust RFP pipeline that really at record levels and also it’s important to note that the breadth of the pipeline that is the range of strategies that investors are showing interest in is as broad as it’s ever been. So, we don’t control the process, but we would expect that - we know that there will be more finals opportunities for us between now and year-end.
Matthew Stadler: And the strategies that are in that bucket include global real estate, listed infrastructure, natural resource equities, U.S. real estate and preferred. So, you can see it’s - and it’s pretty consistent with what’s been in our recently funded mandates as well and over the past year the strategies that have been active have expanded from about 2 to 4 to 5.
Robert Steers: I would also add to that that I know there were some comments about weakness in flows to global real estate. As you can see for yourself, our global real estate track record is actually just really terrific and about $170 million of our unfunded pipeline is going into global real estate mandates, so there is absolutely no weakness there either in demand or frankly investment performance were among the leaders.
Ari Ghosh: Great, thanks for that.
Operator: Thank you. Our next question is coming from the line of Michael Carrier with Bank of America Merrill Lynch. Please proceed with your question.
Michael Carrier: Thanks guys. Maybe first one just on the Japan business, you mentioned the cut on the one front, give any color around maybe how much the flows were being driven by that product? And then if any of the other products, I don’t know if you can tell, but meaning if any of the other products could go through a dividend reduction? And then I guess on the flipside, if you look on the distribution side, in that market they tend to kind of switch products or offer new products with some incoming yield and so is there anything else is in the pipeline and could you kind of replace those fund?
Robert Steers: So, this particular fund I believe is not our largest U.S. REIT fund in Japan, it’s the second largest.
Michael Carrier: Alright.
Robert Steers: And you know as we’ve been observing the other U.S. REIT funds when they had cut, they typically experienced for two months or so an increase in outflows and then it’s tended to level off. Again, it’s our hope, obviously we can’t predict what investors will do, but this was probably the most well telegraphed reduction that we’ve ever seen and we have seen our flows up and through the second quarter I think already were affected, number one. Two, as everyone has noted, in total we have over I think $3 billion of annual distributions coming out of Japan, which is a tough treadmill. And so I think what we’re going to - what I hope to see is that, for example, on this case, it’s about $0.5 billion annual prior distribution rate now - between now and year-end they’ll be about $250 million less of distributions and so I think net-net outflows, net outflows would have to be greater than that for us to have any meaningful decline in asset, so it’s hard to tell. I don’t doubt that the other U.S. REIT fund as these funds whereby our competitors will be affected by this distribution cut and we just don’t know as we’ve said we don’t have any control over distribution policy, so I don’t know about future distribution cuts in other fund. I would say on your question on Japanese new products, I think your observation used to be true. It really is very much not the case, today where you see distributors in effect turning or taking assets out of one fund to fund a new product launch, we’re just not seeing that anymore, regulators in Japan have been very vocal about their concerns, about that practice and frankly new product launches have dropped off substantially because the market really just hasn’t - they haven’t found products that frankly are better than U.S. REIT funds which continue to be among the top sellers.
Matthew Stadler: In the retail channel our U.S. REIT funds are by far the largest. We also sub advice global REIT funds and there haven’t been flows into those funds. Interestingly the performance for global strategies is now starting to be better on an absolute basis compared with U.S. so that’s potentially in area where we could see more interest, but further to Japan in a way from the retail channel, we’re starting to see more activity institutionally, last quarter we reported on our first institutional win for a global listed infrastructure mandate, but more recently and Bob referenced a win in preferreds that will go into our offshore SICAV. We also in our pipeline have a global real estate mandate of the institutional market. And we’re working on other things with other distributors, so we’re starting to see more activity outside of our primary partner in Japan.
Michael Carrier: Okay, thanks. And then just as a follow-up, I guess just strategically when I look at what you guys have been doing, you guys had the performance, you have - it’s a decent amount of differentiated products relatively to the industry. I think you’ve been making a decent number of new hires on the distribution front over the past few years. So, one is, where do you see some of the bigger opportunities relative to where you are already entrenched? And then second is, any capacity constraints on any of the funds or is it still a lot of white space given that some of these funds are relatively newer versus the real estate side?
Robert Steers: I can speak to the first part, Joe can speak to capacity. As you mentioned, we continue to make strategic investments in new product launches, new vehicles, new markets, and also we view being competitive on fees and expenses as investments as well. So, I think the Japan institutional market which we’ve been talking about for a couple years and typically we find these strategic initiatives take two years before they start really generating material results. I think Japan institutional has entered that phase and we’re hopeful that the initial success will actually build and gain momentum. The other two areas where we have been and continue to make meaningful investments for us are in the DCIO channel and in Europe for both the institutional, but also the FIG marketplace. The results in DCIO have been, at least based on asset flows, have been modest thus far. On the other hand, we have achieved many of our goals with respect to positioning our product, getting them on platforms, getting them on recommended lists and we are beginning to see what I would say green shoots that are not material enough to jump up and down about quite yet. In Europe we’re saying a real traction particularly in the wealth marketplace and also sub-advisory and in institutional and so I would say Europe will ought to see a tick up in activity from here on in that we’ll be reporting to you. So, really DCIO and Europe are I think the two big initiatives that we’ve been investing in that have not yet made a meaningful contribution to our organic growth rate but we have high expectations for both along with Japanese institutional.
Joseph Harvey: As it relates to capacity, there are several considerations I’d like to set the table with and I think this discussion really relates to our real estate strategies where which is our largest AUM area and our preferred strategies which has been our most rapidly growing area. The first is that the markets that we invest in overtime have been growth markets as in real estate for example there has been more what we call securitization of real estate or the transfer of ownership from the private market to the public market and so our universe is always growing and this is a dynamic analysis. The same has been true for a preferreds which have grown rapidly because of the regulatory environment for increased capital levels for financial institutions. The second point I’d like to set the table with is, our philosophy around delivering conviction in our portfolios, an active share. We’re in a environment and that what we call the moment of truth where we have to deliver more and that’s more excess returns and more consistently and that means that we’re owning fewer names in our portfolios and will have a more conviction. So, we’re going to respect that because we need to deliver the performance that the market wants, if we lose our discipline on that that’s not going to play well in the moment of truth environment. So, to get to your question and there is one more nuance which is, in real estate and let’s focus on U.S. real estate for a minute, we run a lot of different strategies, we have a core strategy. We also have a focus strategy which is a highly concentrated and the amount of capital we can take across those strategies differs based on those objectives for those strategies. As it relates to our core real estate strategy, we got a plenty of capacity. As it relates to our focus strategy for example, there are limitations and interestingly we’re starting to see more interest in that strategy and I would expect that we’ll fill up our capacity sometime over the next years or so. So, we do have some strategies where there are limits and while we’re not there for any of them, you could see as close strategies from time to time.
Robert Steers: Michael, if I could add just one other thing on making investments. So whereas DCIO, Europe and Japan incrementally I wouldn’t see the need to be spending higher amounts in those initiatives, where we will be spending more going forward is in building our investment capabilities, investment talent in the infrastructure space. As I mentioned in my comments, it’s really eye-opening to us that there is tens of billions of dollars of institutional capital that is already committing to infrastructure without even knowing what the investments are or what the investment opportunities are. I’ve never seen such excitement about putting money out in an area in advance of the opportunity being clear. For us, it is - in the listed space, it already is very clear, infrastructure indices or listed indices are up 15% to 17% this year. And we see tremendous opportunities right here today in logistics and public works, highly targeted strategies that we know already - those are going to be beneficiaries of existing secular trends in place. And so we think that the listed market is going to be the first and potentially best opportunity for deploying infrastructure capital for institutions and individuals.
Michael Carrier: Okay. Thanks a lot.
Operator: Thank you. Our next question coming from the line of John Dunn with Evercore ISI. Please proceed with your question.
John Dunn: Hey, guys. It’s great that the interesting preferreds is getting more popular with institutions. Can you talk about how those sales conversations have evolved? And I know you said, you think it’s going to be - the demand is going to be sticky, but and what kind of gives you confidence that it’s going to be?
Joseph Harvey: Well, this is Joe. I would say that we’re confident in the opportunity, because preferreds have some of the highest yields in the fixed income markets. Now what’s held back institutional demand is that, there are hybrid asset class. They’re not really fixed income. They’re not equity. They’re somewhat in between. But because of the yields that they produce, which relates to credit in part, and because of the fact that it’s a complex market and one where active management has proven to be a very successful. We think that to provide solutions to institutions who are having a hard time meeting their return bogies, they’re going to be pushed into preferred stock. So we’ve been expecting it for three years, it’s just finally starting to happen. We’ve had a couple of consultants who have embraced the asset class. And so they’re writing about it and making the asset allocation case. We think that was just those two consultants, we’re going to see more activity, but that will continue to broaden as investors discover the asset class.
Robert Steers: John, I would add. The demand is quite diverse and our product lineup is becoming more diverse. So the institutions that are interested are domestic and international pension plans. Insurance companies are showing strong interest. As I mentioned, our low-duration strategy is generating tremendous interest. It’s about 2.5-year duration with a 3.5% type yield, that’s generating returns that a lot of absolute return managers have promised, but have been unable to deliver. So they’re unique product selling important niches whether it’s on an insurance company’s balance sheet or investors who want a low-duration product in an environment where rates might be rising.
John Dunn: Gotcha. And then can you talk about how the real asset institutes have evolved over the years? Like lessons learned maybe what do you think has worked? What you think hasn’t worked? And then maybe where the process goes from here?
Robert Steers: Jeez, that’s a tough question. I think what’s worked is that it’s helped to evolve how institutions and financial advisors think about Cohen & Steers, as our product lineup has broadened out within the real asset and alternative income space. And I think it has absolutely generated stronger demand for individual strategies. We’re still not seeing a breakout in demand for our multi-strap product. Perhaps one of the reasons is that it’s a multi-strap portfolio, which has included resource equities and commodities, which has held back its absolute performance. But I think, it has - the institutes have done a great job of educating the market about the importance of having an allocation to real assets in all portfolios just as the largest pension and dominant sovereign funds have and educating them on the individual strategies as well.
John Dunn: Gotcha. Just one last one, can you talk about how you think ETFs are going to compete versus active in preferred land now that it’s important areas for you guys?
Robert Steers: Sure. There are several very large preferred ETF’s. So far they’ve focused on what we call the exchange listed market, which is only a part in the minority of the market and the rest of the market is over-the-counter preferreds. We are concerned about the size of some of those funds. When you look at the composition of the exchange traded market, it’s liquidity and the ability of those ETF’s to replicate their index and potentially handle any outflows in a shock-type scenario. So we have been evolving our strategy. And in fact, we recently slightly modified the benchmark that we manage against to down weight the exchange traded preferred market. So that we can better risk manage around this topic. So we’re going to be talking more and more about these types of issues as ETFs gain more market share. But this is something on the preferred market that we’re very focused on and somewhat concerned about.
John Dunn: Thanks very much, guys.
Operator: Thank you. [Operator Instructions] Our next question coming from the line of Ann Dai with KBW. Please proceed with your question.
Ann Dai: Hi, good morning. Thanks for taking my question. I wanted to start on the DOL fiduciary rule. So as we move closer to that applicability date, the January 1 date, we’re starting to see some more distributors come out with announcement on changes to their pricing. And in some cases a number of funds sponsors that they continue to work with. So I was just hoping you could give us some color on your conversations with your distributors, how they’ve changed as we get closer to that date? And whether you’re anticipating any changes that might meaningfully impact the shelf space of your own product?
Robert Steers: We’ve had ongoing conversations. Obviously, the - what we’re hearing from our distribution partners has been changing as the implementation of DOL has been changing. I would say one and I mentioned this in my comments. We’re going to be a beneficiary of consolidation. Our funds are not being dropped from platforms. And so we think there will be fewer choices, fewer competitors for what we do in the retail space, particularly where you have distributors who are winnowing in many cases very substantially their menu of fund choices. In addition, as distributors are offering ways to partner with them whether it’s frankly to work with them and helping them to create their asset allocation models, model delivery is going to be more important. Frankly, we’re educating many of our partners on how to allocate to real assets, how much and how to do it. So those have been the conversations we’ve had thus far. Joe, anything you want to add?
Joseph Harvey: The only thing I would add is that we were prepared to launch new share classes for our funds to new share classes. And based on the feedback from our distributors, we’ve put that on hold. So looking at that, I would say that our partners have really taken a time out on progressing on some of the initiatives that we talked about a lot about earlier in the year.
Ann Dai: Okay, I appreciate that. The other question I had was just a quick clarification on the partner, the sub-advisory partner dividend cuts. Did you say that was your second largest U.S. refund or what was that comment made?
Robert Steers: So we manage a number of strategies for - after that this particular partner. And the fund where they announced a reduction in the distribution rate was their second largest U.S. refund.
Ann Dai: And can you give us a sense for the asset level in that fund?
Matthew Stadler: A little over $5 billion.
Ann Dai: Okay. That’s it for me. Thank you so much.
Operator: Thank you. Our next question coming from Mac Sykes with Gabelli. Please proceed with your question.
Mac Sykes: Good morning, everyone.
Robert Steers: Good morning, Mac.
Mac Sykes: What have your larger competitors commented recently on the importance of technology spend as a competitive differentiator? I was wondering if you could spend a little bit of time just talking about how you’re incorporating technology initiatives into the platform and around marketing and distribution?
Robert Steers: Sure, that’s a great question. That’s another area where we have been and expect to continue to spend, certainly not in the magnitude of some of the giants in the industry. But we’re spending in a number of ways one substantially upgrading our CRM, our sales force systems. We are purchasing data from our partners and from third-party sources in the industry, and we have spent substantially and we’ll continue to on digital marketing. So the net effect is to - for our sales people whether it’s institutional or in the wealth channel, the expectation is, they will be much more productive. We’ll be calling on advisors who either through our data purchases or through our own digital data collection that we know in advance they have an interest in one or more of our strategies. And so our sales people will not simply be blindly knocking on doors. And again, whether that’s institutional, retail, what have you. And then we also are spending to - in addition to our expense taskforce, which has done a terrific job of helping us to find efficiencies where possible. But we’re also investing in technology to improve our productivity automate where we can. And that that can apply to our legal department that has to process and review hundreds of maybe thousands of agreements we can automate things like that. So it’s just a whole host of investing that we can do in technology, data collection, and processing, digital marketing that it’s significant for us and we are seeing returns on those investments, so we’ll continue to spend there.
Mac Sykes: Great. And then my second question is just Rob, if you’ve done any work in terms of your different regions of the world, maybe some early thoughts how that plays out for you guys in terms of cost or operations? Thanks.
Robert Steers: Could you repeat the question?
Mac Sykes: Sure. Around the changes from MiFID II going forward at the end of the year just a bit some of your initial thoughts on how you maybe adjusting operations or anticipate research going forward?
Robert Steers: Sure. There are several fronts, one relates to reporting that we will have to provide to the regulators in Europe and that’s just the cost of doing business and it’s matter of putting the right systems and process in place to deliver that data to the regulators. The second front is - relates to commission unbundling and budgeting and reporting to our clients in Europe. This has been a project that started two years ago where we unbundled from a accounting perspective how we account for our commissions as it relates to research component and the trade execution component. And we’re - we’ve got a plan in place to be compliant with the reporting and disclosure regulations to our European clients by the end of the year.
Mac Sykes: Thank you.
Operator: Thank you. Mr. Steers, there are no further questions at this time. I will now turn the call back to you.
Robert Steers: Great. Well, thank you all for dialing in this morning and we look forward to speaking to you again in October. Thank you.